Operator: Thank you for standing by. My name is Jael and I will be your conference operator today. At this time, I would like to welcome everyone to the Dynex Capital, Inc. First Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Alison Griffin, Vice President of Investor Relations. You may begin.
Alison Griffin: Good morning and thank you for joining us for Dynex Capital's First Quarter 2024 Earnings Call. The press release associated with today's call was issued and filed with the SEC this morning April 22nd, 2024. You may view the press release on the homepage of the Dynex website at dynexcapital.com as well as on the SEC's website at sec.gov. Before we begin, we wish to remind you that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, forecast, anticipate, estimate, project, plan and similar expressions identify forward-looking statements that are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. The company's actual results and timing of certain events could differ considerably from those projected and/or contemplated by those forward-looking statements as a result of unforeseen external factors or risks. For additional information on these factors or risks, please refer to our disclosures filed with the SEC, which may be found on the Dynex website under Investors center as well as on the SEC's website. This conference call is being broadcast live over the Internet with a streaming slide presentation, which can be found through a webcast link on the homepage of our website. The slide presentation may also be referenced under quarterly reports on the investors center page. Joining me on the call is Byron Boston, Chairman and Chief Executive Officer; Smriti Popenoe, President and Chief Investment Officer; and Rob Colligan, Executive Vice President, Chief Financial Officer. It is now my pleasure to turn the call over to Byron.
Byron Boston: Thank you, Alison. We delivered a solid 2.1% total economic return for the quarter. And as a company, we continue to execute on building our company with our long-term strategy and vision. Listed on the New York Stock Exchange in 1989, Dynex is the longest tenured mortgage REIT. I joined the company in 2008 with a goal of developing a new strategic plan of growing Dynex Capital's balance sheet, paying a steady above average dividend, and to protect our shareholders capital over the long-term. During this period, we have guided our shareholders through multiple extraordinary market cycles. We've consistently made the necessary decisions to adjust our people, processes, technology and strategy to continue to perform in all future environments. We have successfully refreshed the skill sets of our Board of Directors multiple times and focused on developing the talent of our team to reduce key person risk and to increase the probability that we continue to pay our dividend and deliver attractive returns. One of the strongest factors in our success is that we have always been guided by a core set of principles and values. Our goal is not to win at any cost, but we will do what is ethically correct to guide our shareholders through all market environments. Over the past eight years, global risks have continued to intensify and the Dynex team is ready, disciplined and well prepared. I will now turn the call over to Rob and Smriti to further elaborate on our performance for the quarter and to further explain how we are positioned to continue to perform as the future unfolds.
Robert Colligan: Thank you Byron, and good morning to everyone joining the call this morning. Dynex delivered an economic return of 2.1% for the quarter and book value ended the quarter at $13.20 per common share. The drop in the 10-year treasury that started last October began to reverse course as the expectations for federal funds rate cuts began to fade. While the 10-year treasury was up approximately 30 basis points from the end of the year, book value was essentially flat. This quarter, we raised $87 million of new capital, which was deployed in February and March when spreads were wider. The reduction of book value was about $0.07 in the quarter, related to this capital raise. We had one other item affecting earnings this quarter. To comply with the accounting standards for share based compensation, we had an accelerated vesting condition. The impact of this acceleration compared to a standard vesting schedule reduced earnings by $0.05 and I expect this to recur annually in the first quarter of each year going forward. Beyond that, we delivered exactly what a mortgage REIT should deliver in a period that had lower volatility. We delivered a stable book value and a healthy dividend. We also announced the renewal of our stock buyback program, which allows us to buy up to $100 million of common stock and $50 million of preferred stock. Our previous program expired at the end of the quarter and we need to always have a program in place to ensure that we can support the stock price and buy shares if or when our common or preferred shares priced at an extreme discount. In the first quarter, treasury futures remained our preferred hedging instrument. Hedge gains and losses are a component of REIT taxable income and will be part of our distribution requirement with other ordinary gains and losses. This quarter we realized the hedge loss which reduced our aggregate gains, but we still have a large cumulative benefit for the portfolio. Post quarter-end, our hedges continued to perform well as rates continue their march upwards. In an inverted yield curve environment like we have now, we expect our hedges to have a positive carry, which will support earnings. Please see page six, in the earnings release covering the hedge portfolio and page 11 in the earnings presentation for more detail on this topic. With that, I'll now turn the call over to Smriti.
Smriti Popenoe: Thank you Rob, and good morning, everyone. As global economy continues to transition to the post pandemic new normal, we have been planning for an evolving environment, bouts of volatility and periods of comp. In the near-term, our risk management framework includes tail risks for modestly higher policy rates and much lower rates overall as well. We remain highly cognizant of geopolitical risks, especially elections here in the United States. We expressed our view last quarter about the unsustainable US fiscal trajectory. This remains a factor in our rates positioning. Therefore, our investment in capital management strategy continues to be designed for a bumpy ride. We remain focused on high quality liquid agency RMBS, which offer compelling long-term risk adjusted returns. Our portfolio is positioned to meet our long-term target returns at today's spread levels. We see bouts of volatility as opportunities to add assets. Spread tightening and eventual fed eases are tailwinds and upside, but they are not necessary for us to generate returns. Agency MBS returns are attractive and accretive today versus our cost of capital. We expected volatility in economic data to be a major factor driving MBS spreads. So far this quarter, we have seen higher volatility versus last quarter, and as a result, our models have option adjusted spreads approximately 15 basis points wider across our portfolio. We remain well off the wides of Agency MBS seen in November 2023 and October 2022. We feel the range of MBS spreads will be narrower going forward as sponsorship for the sector has improved substantially since the fourth quarter 2023 with the return of banks. In addition, it is expected that the Fed will soon be announcing a reduction in the pace of its quantitative tightening campaigns. And while this reduction may not impact MBS directly, any change which adds reserves to the banking system is yet another positive for the sector. We expect that short-term technicals of higher supply will push spreads wider, all else being equal, and this might be exacerbated by market volatility. Over the medium and long-term however, we continue to expect tighter equilibrium spreads for Agency MBS. In the absence of severe disruptions, we would regard any short-term widening as a dip buying opportunity. I'd like to cover our thoughts around capital raising in this environment. All our capital decision making is driven by the same top down macroeconomics based thinking that drives our investment process. Our primary criterion when raising capital is whether we expect to earn a long-term investment return that meets or exceeds the long-term level of the dividend. In today's investment environment, we believe there's a compelling opportunity to earn this type of return in Agency MBS. This is driven by the transition from the risk being housed on public balance sheets like the Fed to private capital like Dynex. In other words, we believe the total economic return from growing and scaling the business in a healthy investment environment exceeds the cost of capital is accretive to shareholders and lays the foundation for the market to put a higher valuation on our unique platform. As always, we stand ready to buy back the stock in extreme disruptions. And here again, we evaluate the marginal return on buybacks versus investments. Every decision has a long-term lens on it. Finally, we believe there are significant strategic benefits to growing the company. Building resilience and scale is an important strategic goal to ensure the longevity of our company. Moreover, factors such as index inclusion can drive additional shareholder return and liquidity in the stock. Our view remains that today's spreads offer compelling returns, enhanced by tighter long-term equilibrium mortgage spreads. We remain focused on delivering long-term total economic return to our shareholders. I'll now turn it over to Byron.
Byron Boston: Thank you, Smriti. Our company is uniquely positioned for this environment. Today we are generating income from a government guaranteed asset class with flexibility and expertise to pivot across the credit spectrum. We have an experienced team, with a stewardship mindset, a disciplined process and a track record of excellence. Our actions are guided by a long-term strategic process that we believe will continue to drive shareholder value well into the future. We're growing our income generating company as the demographic need for stable income is increasing due to the aging of global populations. In US, the need for income is expected to rise as the baby-boom generation moves through retirement. I just returned from an educational trip to China, Hong Kong and South Korea and observed similar trends in those countries. These demographics support the long-term value of the Dynex platform, providing further upside to shareholders. I will be sharing more on this in a thought piece later this week. We thank you for your interest in Dynex and look forward to speaking with you again next quarter. I will now open it up for questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions]. Your first question comes from the line of George Bose of KBW. Your line is open.
Bose George: Hey guys, this is Bose, good morning. For the first question, thanks for the update on spreads quarter-to-date. Could we also get an estimate of where your book value is?
Smriti Popenoe: Yes. Good morning, Bose. So the book as of Friday, again, these are unaudited, not fully closed numbers at $12.26. So that's down about 7%. And that's really commensurate with the 15 basis points of spread widening in OAS terms.
Bose George: Okay, great. That's helpful. Thanks. And then in terms of your just the current spreads, where would you estimate the current ROEs are? And you noted it's above your cost of capital. And when you think about your cost of capital, is that essentially the common dividend or how do you see your cost of capital?
Smriti Popenoe: I'll answer the first question first. We're seeing marginal returns on Agency MBS anywhere from 9% on the low end to 18% on the high end. So high double-digits ROEs on the current coupon mortgages. The cost of capital is an interesting question. We think of it in terms for common shareholders. Obviously it's the dividend yield and when we are thinking about optimizing sort of the balance sheet itself, it's a blend of the common, the preferred, and then any other financing vehicles we use, which is right now it's the repo market.
Bose George: Okay.
Smriti Popenoe: So we're really looking at a blended cost. And again, a long-term level of the dividend when we think about the cost of capital.
Bose George: Okay, great. Thanks a lot.
Smriti Popenoe: Sure.
Operator: Your next question comes from line of Doug Harter of UBS. Your line is open.
Douglas Harter: Thanks. Just first to clarify, that book value update you gave, how does that treat the April dividend?
Smriti Popenoe: That's net of the April dividend.
Douglas Harter: Okay, great. And then just more on the capital raising. Just you talked a little bit about the returns you're seeing in the cost of capital, but I guess just how do you think about what is an appropriate payback period or kind of just if you could just help us a little bit more kind of through the thought process of the attractiveness of kind of your decision process to raise capital and deploy that? And then just along those lines kind of how you think about is it just the return as of the spread you buy it at or do you contemplate the potential for tightening, widening and kind of how you think about the risk reward from that perspective as well?
Smriti Popenoe: Absolutely. So I'll just say right off the bat. We believe our company should eventually trade above book. The reason is that the value of the infrastructure we've created here at the company is not being reflected in the valuation. That's number one. However, in the short-term, we are raising capital because of the compelling returns and our long-term view of those returns. All right. In terms of what the payback period is and so on and so forth, when we are raising, as I mentioned in my prepared comments, we're really evaluating the long-term ROE versus the long-term level of the dividend. When that is accretive, it makes sense for us to raise. In our theoretical process, we don't give ourselves credit for spread tightening. Those payback periods, which can range anywhere from one and a half to two years, become a matter of months when you include spread tightening. So, for example, if you look on the page in the deck where we talk about our risk profile, a 10 basis points tightening in OAS is a 5% increase in book value, which is instantaneous, right. So once you factor in spread tightening, those time periods to earn back any kind of dilution, become that much faster. But we're not counting on that, and that's really upside. Over the long-term, if we expect spreads between the asset returns and the dividend yield to be accretive over time, that's good enough reason for us to raise. Does that answer your question, Doug?
Douglas Harter: It does, I guess, just along those lines, how are you thinking about the impact of issuing below book and kind of how that affects the trading in the short-term? And how that might impact your cost of capital and the ultimate goal that you or belief that you articulated of getting back to trading at or above book?
Smriti Popenoe: Yeah. I think it's very hard sometimes when you are in an environment like the one we are in, where mortgage spreads are really at the wider end of the range, and we're actually going floating back and forth in that wide end of the range, it's very hard to quickly see the payback from these types of decisions, okay. So in the short-term, I don't expect payback in the next one, or two, or three quarters. We're thinking about these decisions in terms of 6, 7, 9, 10 quarters. That's when you'll see the payback. So at the moment, right, the market isn't seeing, or maybe investors aren't seeing necessarily the value of these things. But I can tell you, the moment we see a definitive trend tighter in mortgage spreads, you will see that payback. And at that point, I think it starts to become a cumulative and virtuous story. Right now, there's still a level of uncertainty in terms of not just the level of mortgage spreads, but the range of mortgage spreads, which, by the way, we believe is going to be tighter over time. But even now versus last year, we expect mortgage spread volatility to be lower. But I think part of this is just investors need to see one or two quarters of that spread tightening come in to sort of buy into it. So I understand why it's not being priced in right now. It doesn't deter us from wanting to make the right long-term decision for shareholders.
Byron Boston: Excellent, Smriti. To the last point, Doug, remember, we manage for the long-term and that we've always done that, we always will do that. We think it's the best way to manage a mortgage REIT. Go ahead, Rob.
Robert Colligan: Sure. Doug, just one other point. We as well as others in the space have used the ATM programs. When you think about other capital markets alternatives, the ATM is right now the most efficient way for us to raise capital. So while it was at a small discount, the discounts would have been much larger in other forms of capital raising. So we're very cognizant of it. It's something that we focus on a lot. We don't want to be dilutive, but right now the ATM program and what we were able to accomplish in the quarter was actually very efficient.
Douglas Harter: I appreciate all those answers. Thank you.
Smriti Popenoe: Thanks, Doug.
Operator: Your next question comes from the line of Matthew Erdner of Jones Trading. Your line is open.
Matthew Erdner: Hey, good morning, guys. Thanks for taking the question. Could you talk a little bit about capital allocation and the thought on rotating into the TBAs?
Smriti Popenoe: Yeah. Hi, Matt. So one of the core principles is to have a relatively balanced coupon profile. In terms of just looking at our outlook for interest rates and interest rate volatility, we're about, I would say, 50-50 thereabouts in the higher coupons versus the lower coupons. So we were slightly underweight, the higher coupons coming into the quarter relative to sort of like, I would really say the real deep discount mortgages. Higher coupons did underperform in the two episodes of spread widening that we saw in February and March. And so our allocations went to that part of the coupon stack.
Matthew Erdner: Yeah, that's helpful. And then, if you're able to provide leverage quarter-to-date and just your thoughts around, how you're thinking about leverage, given the volatility that we've seen over the past couple of months.
Smriti Popenoe: Yeah, I'll let Rob give you the exact change in leverage for the quarter. But in general, I would say that the amount of leverage that we have on right now is we're comfortable with this level of leverage for this level of spreads and our view on markets. We have room to add leverage and the capital raise in the first quarter allowed us to do that. So we think, we can still take leverage up to the extent that we get opportunities to do that. And again, look, this is the kind of market environment where you have to not only stand ready to take leverage up, but you got to be ready to take it down because of just so many of these exogenous shocks. Right now, our view is that mortgage spreads will really start to trade in a tighter range than how much they have -- the range that they've been in 2023 or 2022. That's predicated upon just banks coming back into the market and there being a much stronger technical bid for mortgages. So the wide may not be as wide as '22, '23 and the tights may be a little bit tighter. So you're really getting a much tighter level of mortgage spreads to work with. And so that informs why the leverage is where it is today. Do we have a leverage update?
Robert Colligan: Yeah. So leverage towards the end of last week was about 8.5. So up a little bit from the end of the quarter.
Matthew Erdner: That's helpful.
Smriti Popenoe: And that reflects the book value being down.
Matthew Erdner: Okay, great. Thank you, guys.
Operator: [Operator Instructions] Your next question comes from the line of Eric Hagen of BTIG. Your line is open.
Eric Hagen: Hey, thanks. Good morning, guys. Can you maybe elaborate on some of the tail risks that you see in the market right now? I think you mentioned something in your opening remarks. And in addition to that, maybe addressing some of the conditions which could drive more material tightening for spreads and what we -- what we might be looking out for there? Thank you, guys.
Smriti Popenoe: Yeah. Thanks, Eric. Thanks for the question. Look I think the markets are relatively unprepared for a tick-up in inflation, continuing strength in the US economy or a stagflationary type of scenario that results in the Fed actually having to put hikes back on the table, but then the economy actually doesn't perform so well. So those are two things on the list where, when you think of known, unknowns relative to unknown unknowns. That's a risk that we're taking very seriously here. We've always called this kind of an evolving macroeconomic environment, and it's doing exactly that. No one here at Dynex expected inflation to come down in a straight line. You've seen some of our LinkedIn posts on the connection with volatility. And that brings me to the second part of your question. Mortgage spreads are really very, very dependent here on macroeconomic volatility. The more volatile the macroeconomic data are, there's more delivered volatility, there's -- and therefore that implied volatilities go up. That affects mortgage valuations, mortgages tend to widen in those environments, right. So anything that brings mortgage spread volatility and macro volatility down is very positive for mortgages. And we actually think that's not -- that's within the realm of possibility. The trajectory from 7% inflation to 3% inflation. Now we're just talking about 3% inflation to 2% inflation. The volatility of the data is much lower here, so you should see delivered vol start to come down. And that's very supportive for mortgage spreads. The other part I would say is just the technicals are so much better this go around. We did have some spread widening here in April. It's been remarkably orderly. We have not seen a substantial amount of dash for cash, kind of run for the hills, sell all the mortgages you own. That has not happened, even though we're seeing the same types of interest rates levels that we saw back in October, November of '23. So that's actually a very encouraging prospect. And then finally, just in terms of any other things that would cause mortgages to tighten, I talked about the Fed tapering quantitative tightening. That in and of itself may not affect mortgages directly, but you've got to think on the margin, they're increasing bank reserves. Banks have been actually investing more in securities rather than loans. And any time there's a bid for that duration or that risk free asset, we think that's supportive of mortgage spreads as well.
Eric Hagen: Thanks. That's really helpful. Maybe a follow-up on the spread conversation. I mean, you mentioned banks coming back into the market. I mean, how meaningful do you think pressure is in other asset classes that might drive that like commercial real estate? And how do you even control for the actions of larger banks and their appetite for mortgages and duration?
Smriti Popenoe: Look, I think the larger banks never actually left the market, they -- on the margin, their bid drives a lot of what's going on. In the first quarter, interestingly, it's actually been not the larger banks, it's been the middle tier banks and smaller banks that have wanted to buy CMO floaters. That's been the marginal driver of mortgage activity in the first quarter. So to the extent that you get the larger bank stepping back up in terms of the level of purchases, I mean, that's a massive tailwind for mortgage spreads. But I don't think that, we've actually seen that just yet.
Eric Hagen: Got it. Thank you guys so much.
Smriti Popenoe: Thank you.
Operator: That concludes our Q&A session. I will now turn the conference back over to Byron Boston for closing remarks.
Byron Boston: Simply put, we thank you all for joining us today. We want to remind you that we have a very long-term strategy and we're always thinking forward, as Smriti has explained. So thank you again for joining us today. And we look forward to chatting with you again next quarter.
Operator: This concludes today's conference call. You may now disconnect.